Operator: Greetings, ladies and gentlemen, and welcome to the Truist Financial Corporation Fourth Quarter 2019 Earnings Conference. Currently, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this event is being recorded. It is now my pleasure to introduce your host, Mr. Rich Baytosh, Director of Investor Relations for Truist Financial Corporation.
Rich Baytosh: Thank you, Lauren, and good morning, everyone. Thanks to all of our listeners for joining us today. On today's call, we have Kelly King, our Chairman and Chief Executive Officer; and Daryl Bible, our Chief Financial Officer, who will review the results for the fourth quarter and provide some thoughts for the first quarter and full year 2020. We also have Bill Rogers, our President and Chief Operating Officer; Chris Henson, our Head of Banking and Insurance; and Clarke Starnes, our Chief Risk Officer to participate in the Q&A session. We will be referencing a slide presentation during the call. A copy of the presentation, as well as our earnings release and supplemental financial information are available on the Truist Investor Relations website. Please note that Truist does not provide public earnings predictions or forecasts. However, there may be statements made during the course of this call that express management's intentions, beliefs or expectations. These statements are subject to inherent risks and uncertainties and Truist's actual results may differ materially from those contemplated by these forward-looking statements. Please refer to the cautionary notes regarding forward-looking information in our presentation and our SEC filings. Please also note that our presentation includes certain non-GAAP financial measures. Please refer to Page 3 and the appendix of our presentation for the appropriate reconciliations to GAAP. And now I'll turn it over to Kelly.
Kelly King: Thanks, Rich. Good morning everybody and thank you for joining our first Truist earnings call. Thank you for your support. What you're going to see is overall a fantastic progress in one year. And I would say to you generally if you liked our company a year ago, you should love us now. As we go through this information, we're going to be completely transparent. But as you would expect it's going to be messy. We don't know all that you want to know, but our pledge to you is that over the next quarter or two we’ll give you more and more as we go along. Some of the highlights, which you probably already know but we did successfully closed the deal on December 6. This is interestingly the largest financial transaction -- institution transaction in 15 years. And these two iconic companies have 275-plus combined years of service, which is huge. We are the sixth largest U.S. commercial bank. We have the number two weighted average deposit market share on our top 20 MSAs and about $473 billion in assets. I think very, very importantly before legal day one, which was less than 60 days ago we had all managers in place and our organizational structure today is set and running. No confusion about who's doing what. So that's a really, really big deal. We've done a lot of work with regard to our culture. I'll talk about that in a moment, but I feel really, really good. And we've made much progress in other areas. I want to spend just a minute on culture, because this is the most important consideration for all of us. Culture drives long-term performance. There is no question about that. And therefore it is our number one priority. The way we think about culture is a culture is a function of our purpose, our mission and our values. There are certain practices the, kind of, way we do things around here and there's a whole process of embedding the culture into the organization. But the most important thing to think about is our purpose, our mission and our values. Our purpose at Truist is to inspire and build better lives and communities. We really believe we can make the world better and we think that is exactly what major corporations are called upon to do today. We execute our purpose through our mission, which is focusing on taking care of our clients through a really good environment for our teammates and of course optimizing long-term value for all of our stakeholders. Most importantly all of our mission efforts are guided by our long-standing deep beliefs, which we call values. Our values at Truist are about being trustworthy. We serve with integrity. It's about being caring. We know that everyone and every moment matters. It's about one team coming together. We can accomplish anything working together as a team. It's about success. We know that when our clients win, we all win. And for our teammates it's about happiness. Essentially positive energy changes lives and we ultimately want all of our teammates to be happy because when you're happy, you don't have a job you have a passion and we want everybody to be passionately focused on accomplishing our purpose. We know that we are very, very closely aligned. Early on in this process, we got really good research from our 59,000 teammates. We -- for example early on we gave them 16 words to describe their companies. We got over 10,000 responses from each side. They all picked exactly the same four words. A couple months later, we had scientific research where we asked again over 20,000 teammates divided between the companies to describe the company in terms of how we operate. And they described it almost exactly the same. Just a week before last, we started a series of 39 town halls where Bill Rogers and I went around and started talking to our teammates and answering questions. Week before last, we did 11 of 39. Next week we will do another 11 as well. And I would tell you that the responses are fantastic. Our teammates are excited. They love our culture. They love our purpose. They love our brand. They love our colors. They love our logo. So, it is off to a really, really good start. But I want you to feel confident as investors that this is not two companies struggling trying to come together. This is two companies that were already deeply aligned in terms of our purpose, our mission and our values. Everything we've seen over the last year affirms just that. And now, there's a renewed level of excitement from everybody as we think about coming together as Truist and going out and making the world a better place. Let's talk about some of the highlights. If you're following along on page 6, total taxable-equivalent revenue was $3.6 billion. Adjusted net income available to common shareholders was $1.46 billion and that's up 29%. But like all these numbers, you're going to know that they're obviously inflated because of the SunTrust impact on the BB&T numbers as we added 25 days towards the end of the fourth quarter. So, we won't dwell so much on the specific changes, but we did make over $1 billion. In terms of diluted earnings per share, adjusted is the dollar square [ph] give you some detail in terms of how that adjustment was arrived at. Return on average assets adjusted 1.4%, very strong. Return on average tangible common equity 18.6%, which right out of the shoot is really, really good again on adjusted basis. And adjusted efficiency ratio was 57.5%. Both companies to give you a sense of momentum grew loans at a healthy pace when you ex out from restructuring which Daryl will talk about. But underlying growth is very good. The pipelines are very strong. And we feel very, very good about momentum. Asset quality is great. And we've taken some actions to optimize the portfolio from a credit perspective. Our capital and liquidity levels are excellent. Daryl will give you detail about that. Our businesses, as I said have good momentum. We talked to bankers all across the footprint. Pipelines are strong. People are excited about doing business with Truist. The launching of the Truist brand, colors, logo could not have gone better. But I want you to know that we are primarily focused on serving our clients. We are laser-focused on making sure our clients have a distinctive, outstanding service quality relationship with Truist. We're going to talk about cost saves and Daryl will give you a lot of detail that we have available for that. But I want you to know from our perspective; we have made a decision to slow the timing down just a few months. And we did that to improve client service quality, to ensure strong client retention, to improve the long-term value proposition. This is about really the digital investments that we're going to be making. We want to get some of those made before we actually roll out the conversion and so the branch conversions are delayed some. Part of that was because of the agreement, we reached with regulators. Part of that was because we wanted to delay it to make sure again, we have a digital value proposition in place. Still we are very, very confident on our net $1.6 billion in savings. So, this should not be viewed as a negative. This is a positive. It's the same number. We've simply taken just a little bit longer to make sure we do it and do it right. Our nonperforming assets were fantastic at 0.14%. Net charge-offs were right in the sweet spot of what we've always indicated 0.40% and a very strong common equity Tier one capital of 9.4%. So, we feel really, really good about asset quality and capital. If you look at page 7, I'll just mention these selected items really just three that are large. The merger-related restructuring charges $223 million pretax, which is $0.19 negative impact on diluted EPS. We had security losses because of our balance sheet restructuring. That was $116 million, which translates into about $0.10 in terms of negative impact on EPS. And then, we have some expenses that are not technically from an accounting point of view designated as merger related, but they are incremental operating expenses that do have future benefits, but they're not part of our ongoing run rate. So, you can kind of think about them the same. The main thing is they don't impact future run rate. So when you add all that together, you get a net negative impact on our ongoing run rate of $0.37, which is substantially why you see the difference in GAAP and our adjusted numbers. If you look at page 8 just a few comments with regard to loans. We did have an end-of-period balance of about $300 billion really good mix. The mix of loans held for investment consists of 56% commercial, 40% consumer, about 2% credit card pretty balanced. Over time, you might expect to see the consumer grow a little faster than commercial if you get a little closer to 50-50, but we feel really good about where we are starting out. We did take some actions, which Daryl will give you more color on with regard to the portfolios. But I would just point out that the year-end portfolio loans are a little inflated by about $4.5 billion because of the loans that have moved into loans held for sale and moved but haven't closed it. So we'll close very, very soon. So as we think about the overall market just in talking to an awful lot of our Regional Presidents and Market Presidents; I would say that, overall market is pretty good. CEOs are confident in their businesses. But it's fair to say they are nervous. They're worried about the macro issues, the trade war, Iran, the coronavirus. We have 10-plus years long into recovery. So while we do not expect a recession in the near-term, I would say in fairness we can certainly talk ourselves into one. So it's a little bit of a nervous period right now. I think we need to be honest about that. But that's one of the reasons that Truist always remains strong in terms of capital and liquidity in the event these existential factors do create an interruption in terms of ongoing business. But we don't really predict one now. We really think this will settle down. We certainly hope and pray that this coronavirus does not get out of hand, but we all have to be really concerned about that. There are a lot of people around the world being hurt a lot -- people are dying and we got to really hope that that does not become a global systemic issue. And I personally don't think it will, but we have to pay a lot of close attention to that. If you're looking at slides on Page 9 just a couple of comments with regard to deposits. We did end up with non-interest-bearing deposits of about $92 billion and total deposits of about $335 billion. The -- if you exclude purchase accounting non-interest deposits declined, just a little bit in the third quarter. Everybody I believe is seeing a continued shift out of non-interest into time and we're seeing the same thing. It's not indifferent than anybody else is facing. But our interest deposits did increase a strong 9%. So you can see what's going on. Our total deposit activity is very good. It's just a little shift going on. We have strong non-interest deposits that total 30.6%, one of the best in the industry. So we feel good about that. Our total cost of average total deposits and average interest-bearing deposits respectively decreased 10 basis points and 17. So actually pretty good there given the relatively flat yield curve. We're very happy to report that we are telegraphing to our clients that virtually all of our clients will not experience any change in their account numbers. Having been involved in lots and lots of mergers over my career, I can tell you that the big issue for the client is change. And the main thing about change is don't change my account number. So we've worked out a way and I congratulate our people for virtually all of our clients not to have any changes in their account numbers. So we predict that it will go extraordinarily smoothly for our clients, which is certainly our goal. So overall even though it's a little hard to see through the numbers, our balance sheet is strong, strong earnings tremendous progress in moving Truist forward and we are very excited and we're very confident. With that let me turn it to Daryl who will give you a lot more detail and a lot more color.
Daryl Bible: Thank you, Kelly, and good morning, everyone. Turning to slide 10, net interest income was $2.25 billion. Net interest margin was 3.41%, up 4 basis points versus the third quarter. Purchase accounting contributed 27 basis points to reported net interest margin. At the end of the year, our final purchase accounting marks included $4.5 billion against the SunTrust loan portfolio, an $83 million upward adjustment to CDs and a $309 million upward adjustment to long-term debt. These marks were close to the recent estimates that we provided based upon September 30 data. We plan to true-up these marks in the first quarter as the final valuation numbers come in from our third-party provider. Core net interest margin was 3.14% down 15 basis points from the third quarter. The yield on loans held for investment decreased 6 basis points as the effect of lower short-term rates was partially offset by a 37 basis point benefit from purchase accounting. The balance sheet restructuring improved our securities yield by 5 basis points and achieved our goal of a relatively neutral interest rate risk profile. Continuing on slide 11, this summarizes our balance sheet restructuring which is focused on improving credit quality, liquidity, interest rate sensitivity, net interest margin and return on capital. Through the restructuring, we improved the run rate on the investment portfolio, built liquidity to meet our LCR requirements re-hedged the balance sheet and managed towards a more neutral interest rate position. We sold loans to manage negative convexity, reduced premium amortization and enhanced credit quality by exiting $1.4 billion of high-risk credit exposures of which $516 million was funded at year-end. About 80% of that sale traded in January. Through the end of January, we lowered interest rates on about $17 billion of institutional deposits by 20 basis points because of our higher credit ratings. We will continue to be opportunistic in optimizing other funding to take advantage of Truist's higher credit ratings. We also estimate that year-end loans held for sale were elevated relative to normalized levels by approximately $4.5 billion and that the securities were elevated by approximately $1.4 billion. This means the balance sheet should settle slightly under $470 billion in total assets. Turning to slide 12. Non-interest income increased $233 million after excluding $116 million in security losses and $22 million in losses related to the transfer of residential mortgages held for sale. Approximately $217 million [ph] of the increase was due to the merger. The rest was due to a $22 million increase in insurance income due to seasonality and minor changes in heritage BB&T fee income categories. Of note, full year 2019 insurance income had organic growth of 8.8%. Continuing on slide 13. Non-interest expense was up $497 million after excluding a $189 million increase in merger and restructuring charges and $49 million increase in incremental operating expenses related to the merger. Approximately $400 million of this was due to core expenses from the merger. The remaining increase was due to $42 million in heritage BB&T incentives and $42 million in amortization due to higher CDI and other intangibles. Turning to slide 14. Asset quality remains strong. NPAs increased $175 million to $684 million. The increase was due to the merger and included $107 million of acquired non-performing loans held for sale, $63 million of loans and leases held for investment and $63 million of foreclosed real estate partially offset by the sale of $69 million of non-performing mortgages. NPLs were 15 basis points of total loans held for investment at the end of the year, down from 30 basis points at September 30. The decrease in the ratio was mostly due to the effect of accounting for acquired NPLs on a pooled basis in PCI. This effect on the ratio will reverse with the adoption of CECL and the transition of pooled level accounting for PCI. Net charge-offs increased $39 million and were 40 basis points of average loans, down one basis point from last quarter. The provision increased $54 million due to higher net charge-offs and an increase in the provision for unfunded commitments. Our allowance was 52 basis points of loans held for investment at year-end, down from 105 at September 30, due to the elimination of the SunTrust allowance. We would note that the combination of our allowance and unamortized fair value mark is a very robust 2.01% of total loans. The allowance coverage ratios also remained strong at 2.03 times net charge-offs and 3.41 times NPLs. Continuing on slide 15. Effective January 1 Truist adopted CECL, the new accounting standard related to credit losses. As a result, this did not impact our 2019 financial results. However, the impact at adoption was an overall $2.9 billion increase in the allowance for credit losses. The magnitude of this increase was significantly impacted by purchase accounting related to the merger. We were not required to carry allowance on the acquired loans from the transaction at year-end, due to the related purchase accounting marks. Excluding the impact of purchase accounting, the implementation of CECL resulted in an approximate 40% increase in the allowance for credit losses. This reflects increases that are related to our consumer and mortgage portfolios, partially offset by the decrease in our commercial loan portfolio. In terms of capital, the increase in the allowance due to CECL resulted in a $2.1 billion after-tax reduction to retained earnings. Truist has elected to phase in the impact to regulatory capital by 25% annually from 2020 through 2023. Turning to slide 16. Our capital ratios decreased due to the merger, but remained strong relative to regulatory capital levels for well-capitalized banks. Our CET1 ratio was 9.4% down from 10.6% in the third quarter. The benefits of purchase accounting will be partially offset in the first quarter by a 10 basis point impact from the treatment of MSR risk-weighted assets under the simplification rule and a 14 basis point impact from the CECL phase-in. At December 31, tangible book value per share increased 5.2% from September 30. Earnings during the quarter contributed 3.4% of the increase. And the merger with SunTrust contributed 1.8% confirming the close was accretable to tangible common equity. Compared to December 31, 2018 tangible book per share increased 18.5%. Continuing to slide 17. We realized 2020 may be challenging to analyze and model. So we are providing more guidance than usual. Our guidance is largely dollar-based due to the absence of historical baselines to which growth rates can be applied. Some highlights from our first quarter 2020 guidance includes average earning assets to be plus or minus $406 billion. We expect reported net interest margin to be in the mid to high 3.40s and core margin to be just over 3%. Net charge-offs should range from 35 to 50 basis points and fee income should be just over $2 billion. Our expense guidance includes $100 million to $150 million in merger expenses. For the full year, we expect the balance sheet to grow based upon our guidance. Net charge-offs should remain relatively stable assuming no significant deterioration in the economy. And expenses will trend down each quarter until we achieve an annual run rate expense savings of about $480 million in the fourth quarter. Turning to slide 18, we are also providing medium term performance target for about three years. We are confident Truist can generate peer-leading, return on tangible common equity in the low 20s, and an adjusted efficiency ratio in the low 50s over the medium term. In terms of capital, we are targeting 10% CET1 ratio for 2020. We are also confident we will achieve $1.6 billion in net expense savings through 2022. But we are updating the expected timing of our expense net savings. This is primarily due to our commitment to the regulators not to close overlapping branches for the -- at least the first year and careful and cautious approach to systems integration to minimize client disruption. By the end of 2020, we expect to achieve a run rate equal to 30% of our net cost savings target by the end of 2021, 65% and by the end of 2022, a full $1.6 billion. All of this will drive positive operating leverage for the next three years. For reference, 2019 combined non-interest expense excluding merger expenses, a one-time charitable contribution, and amortization was approximately $1.8 billion. We expect to achieve an annual run rate of investment of approximately $200 million by the fourth quarter of 2020. These investments will be directed towards personnel, branding, digital, and technology. Now, let me turn it back to Kelly for an update on the merger and closing thoughts and Q&A.
Kelly King: Thanks Daryl. So, if you'll take a look at Page 19 just to summarize. Just a lot of really, really good accomplishments so far. Once we closed the deal, we've integrated a financial reporting system. We've integrated and converted derivatives Workday a number of other systems. We have successfully retained our talent and our clients. So, any concern about any mass exits on that is not warranted. We've restructured the balance sheet. We've launched our visual imagery colors and logo. We've introduced our culture of purpose mission and values. And I'm happy to say we've added some key leadership in certain areas particularly in the digital space. So, kind of, what's coming up in a big picture perspective is that we are now working hard on completing product mapping which allows us then to go into the development. We will be continuing to complete another 28 town halls. We'll be doing about 12 next week. So, that continues on. We will continue to focus on deepening our relationship with our clients. We will complete the branch divestitures in a few months. We will complete the purchase of our new Truist and our headquarters here in Charlotte. I just mentioned that because that's a pretty big deal in this market and for our people. Our people are really excited about being in a 47-story iconic building that shows well in Charlotte. We'll be introducing and marketing our Truist brand and we'll continue investments in digital and technology. And then we'll phase into the conversion of the primary systems. So, overall, it was a very strong quarter. As we've said a year ago, we have two great companies coming together to create a very special company. We are in great markets, we have great economics, we have a very strong culture. Everyone is excited about our purpose. We have the opportunity to make the world a better place. You got to love Truist. So, I'll turn it back over to Rich.
Rich Baytosh: Thank you, Kelly. Lauren at this time if you would come back on the line and explain how our listeners can participate in the Q&A session.
Operator: Thank you. [Operator Instructions] We'll take our first question from Gerard Cassidy with RBC.
Gerard Cassidy: Good morning, Kelly. Good morning, Bill.
Kelly King: Hi, good morning, Gerard.
Gerard Cassidy: Kelly and Bill congratulations on doing a monumental dealing and coming out of the gates with some really good numbers. Congratulations.
Bill Rogers: Thank you.
Kelly King: Thank you. We appreciate that.
Gerard Cassidy: Daryl can you share with us on the credit side the provision for the guidance for 2020 seems pretty robust. Did CECL have an impact on what you guys are looking for? Because considering that you mark-to-market all those loans at the time of closing without CECL I would have maybe expected the provision maybe to be a little lower.
Daryl Bible: Yes Gerard. So, we basically adopted FASB's guidance on how CECL operate. Our auditors PwC feels very comfortable with what we booked on 1/1 of 2020. In essence, if you back out the purchase accounting it's a 40% increase of the two banks combined. We were both around 105 or 106 allowance. We're up to about 147. If you add in reserve for unfunded it's about 161. But that's what the guidance basically told us to do and that's why we booked that. I do agree though there is a double dip in there. I mean that is definitely positive because we have purchase accounting marks of $4.5 billion on the SunTrust loan portfolio. And now we have a reserve 147 on the loan book as well.
Gerard Cassidy: Very good. And then Kelly and Bill when you guys -- on slide 19 you listed your accomplishments so far and now the next steps. Can you share with us how challenged are the -- is the heaviest listening ahead of us? Or has it already been accomplished? Can you compare and contrast what you've already accomplished with what you still need to do in terms of the degree of difficulty?
Kelly King: Good question, Gerard. I'll take a start and then Bill can add to that. I would say in all honesty the heaviest listening is done because pulling two companies together early on to make sure that you don't have any cultural interruption that you don't have any – excuse me, clashes in business strategies that you still feel confident in terms of achieving the expense saves all of those are -- we feel better today than we felt a year ago. I have to say for myself and I think Bill will echo this. You know, week before last when we visited 11 town halls we touched about 6,000 teammates. And if you'd have been in that room number one you would have said these people have been working together for 25 years. And number two, you would have thought the level of excitement was just extraordinarily high. And so that's work that's got to be done with regard to programming and I don't take anything away from that. There's really, really hard work. But at this point the organization is settled strong focused and we are just now focusing on doing the connectivity work that is big but is predictable in terms of how well we can do it. Bill?
Bill Rogers: Yes. I think, Kelly and I looked at this through the same lens in terms of what's hard and what's easy. And the hard part and the most important part is getting the cultural alignment and making sure that's fair. And I think Kelly has articulated that really well and I feel the exact same way. And if that wasn't there then that would be some concern and that would make the road ahead hard. So I think we've set a really good foundation for the road ahead. That's not to diminish the fact we have a lot of work. So we've got a lot of systems integration to do and revenue synergies to achieve and all those things. But what I think we would align on is the highest hurdle is, is it working and is the company culture aligned and are we leaning forward and I feel great about that.
Gerard Cassidy: Again, thank you and congratulations.
Bill Rogers: Thank you.
Operator: We'll take our next question from Saul Martinez with UBS.
Saul Martinez: Hey. Good morning, everybody. Congratulations on your first quarter as a combined entity. A couple of questions. First on your marks in the outlook for purchase accounting accretion. I think the mark is about $4.5 billion not too different from in your last filing. Daryl, can you just walk us through whether that calculation has changed at all with regards to how much of it's credit liquidity and rate marks? And the purchase accounting accretion trajectory as well. If you can talk to that because I think this -- your guidance implies about I think $1.6 billion of purchase accounting accretion this year. How does that go -- how does that move forward also beyond 2020? How do we think about the glide path of PAA and how it impacts numbers beyond this year?
Daryl Bible: Thank you for the question, Saul. So first, I would tell you that the $4.5 billion that was booked that we're showing from December 6 that we remarked about 60% of it is credit-related 1.8%. It came down a little bit. But it's really closely aligned to -- I mean our CECL with reserve for unfunded was in the 160s, low 160s. So it's just a little bit more than that obviously, due for a little bit different methodologies but it's very consistent from that impact. The other part the other 40% is mainly attributable to liquidity and interest rate risk. We did put in one of the slides that the commercial portfolio probably has an average life of around three years consumer around 6. I would say it's going to ebb and flow of how contractual payments come through as well as prepayments. You will definitely see a downward trajectory on the purchase accounting accretion that's coming through. But at the same time what you're going to see is our cost savings our net cost savings really kick in and over that same time period. And you would actually still see improvement on a consistent basis on our operating leverage number just because of the calculation of how efficiency works with expenses over revenue. For every dollar we save it's worth $2 of revenue that's lost. So we still feel very good about the projections that we gained from that perspective.
Saul Martinez : Okay, got it. And I guess a follow-up there. You're -- adjusting for purchase accounting accretion. The guidance implies about -- by my calculation, about $12.2 billion to $12.5 billion of net interest income ex-ing out PAA. If I look at the combined entity historically SunTrust BB&T, the run rate's been about $13 billion. Can you just walk us through what's driving that difference? I know, there's a lot of balance sheet restructuring going on, but it does seem to imply that the core NII -- there's some degradation there, ex-ing out the PAA. Is my understanding this right? Can you just walk me through like what's driving that?
Daryl Bible: Yes. I mean, if you really look at the balance sheet restructuring, we didn't shrink that much. I mean, the mark was $4.5 billion. So the loans didn't sell. We just basically wrote down the loans. We did sell mortgages. Mortgages, if you look at it over the last couple quarters, is down about $10 billion. But pretty much everything else is consistent. The big reason why NII is down -- if you go back a year ago and you look at, like, what we were projecting, our models and all of our peers models had interest rates still rising at the start of 2019. And if -- we actually went back and did a little homework. We looked at what estimates were back then and we compared them to what estimates are right now. And across the board, the peer average is down 20 to 25 basis points. And that's just because of the lower rate environment and the flatter curve that you're seeing.
Saul Martinez: Okay. So it's really just the rate backdrop has degradated NII?
Daryl Bible: Correct.
Saul Martinez: All right. Okay. I guess I get that. But like, even if I look at the third quarter, Daryl, combined NII pro forma was about $3.25 billion or $13 billion annualized. So this quarter, I guess, there's some degradation there, but it seems like a pretty big drop off.
Daryl Bible: You had margins in the second half of 2019 really start to hit as the rate cuts came in. They occurred in July and you had three drops. So you really aren't seeing the full impact. The last drop was in December. So you aren't getting to see full impact until you get to the first quarter. So you have to look at that trajectory that we've seen over the last six months.
Saul Martinez: Okay. All right. Fair enough. Thanks a lot.
Operator: We'll take our next question from Matt O'Connor with Deutsche Bank.
Matt O'Connor: Good morning. Thanks for the update on some of the kind of planned milestones that we should be focusing on, on page 19. But, I guess, I want to focus on just the systems conversions and what are the big ones that we should be thinking about that will drive the cost saves. And it seems like banks have done a pretty good job converting various systems and recent deals, but it can always be sort of a risk. So what's the time frame for some of the bigger system conversions? And, I guess, just what should we be looking for to make sure they go well?
Kelly King: So, Matt, the -- clearly the biggest is the overall deposit conversion, because that's what drives the interaction with the clients. Loan conversion is a big deal, obviously. I would say those are the two larger ones. There are -- we have about 3,000 programs that have to be dealt with 100 ecosystem, so there's a lot of them. But it's like any other bank; the primary is loans and deposits.
Matt O'Connor: Okay. And the timing of those conversions?
Kelly King: Sorry?
Daryl Bible: Timing of the conversions.
Matt O'Connor: Timing.
Kelly King: Timing. So we will be primarily shooting for about August of 2021. That may seem like a long time, but we're committed to doing it right. Much work is already underway in terms of ecosystem selection that's virtually all done. We are moving into programming now. The programming takes several months. Then you have a huge amount of time of tests. But you can do it sooner and we could beat that a little bit. But the key is to take plenty of time for testing, because you only know through testing if you've done it right. And you don't want to put it out there and then go back and have to change it. So if I had to give you a specific date now, I'd give you like August of 2021.
Matt O'Connor: Okay. And then separately, Daryl, if you look at, I guess, on slide 17, here the outlook for the first quarter and the full year implies relatively stable earning assets throughout the year. And I mean, it sounds like there's some kind of inflated assets at year-end in held for sale and the securities book that presumably will run off, I would think, relatively quick. So what I'm getting at is I'm trying to think about the loan growth that you're assuming for the rest of the year? Or maybe I'm wrong with those kind of inflated assets run off in the first quarter?
Daryl Bible: Yes. So, Matt, what I would say is, I mean, the trajectory of loans coming off the books, mainly mortgages, was down third, fourth quarter. And we've bottomed out. Most of the trades have settled down. Just a little bit left to go this quarter. But when you look at point-to-point, when we presented to our Board earlier this week, our operating plan on a go-forward basis, we're looking to be a little bit better than growth in GDP. So I would say in the 2% to 3% range point-to-point in loans over the next year and favored a little bit heavier in commercial versus retail. But I think we have as Kelly said momentum that we finished with the year fourth quarter. And the teams are working really well together and feel very positive that we're going to grow and generate revenue as we move forward in 2020.
Matt O'Connor: Okay. Thank you.
Operator: Our next question comes from John Pancari with Evercore ISI.
John Pancari: Good morning.
Kelly King: Good morning.
Daryl Bible: Good morning.
John Pancari: On the slowing of the timing of the cost saves of the factors that you said what was the biggest driver? Because I just assume a lot of the drivers that you said like focusing on service quality, the customer retention, the digital that's stuff that you would have already assumed that you would have been doing. So what was the change? What surprised you to make that change? Thanks.
Kelly King: So, John, it was not really a surprise, but it is a difference. We were very committed to picking the best of the systems. And so we went system by system to look at the best. And we picked a number of SunTrust systems, which are really, really good as surviving Truist systems. So it's a little technical. But if you took all of the BB&T systems, you can convert this much faster. You just move all of the data from SunTrust over to BB&T systems -- programs. But when you pick the SunTrust system and you put it on the BB&T equipment, you have equipment changes and you have the programming to move that SunTrust program over to the BB&T systems. That's really what's driving the time a bit longer than we thought. But it's also a conservative estimate with regard to testing because we are committed to do an awful lot of testing. And then remember when we first talked about our timing, we did not anticipate the branch delay, which you alluded to that, but that is a year of delayed savings. It was the right thing to do in conjunction with approval of the process. We feel good about it. We will be doing closings during the course of the year in non-overlapping markets. We will be doing a lot of work through our retail channel in terms of preparing for the closings. But that's a pretty material change in terms of the timing of the cost saves.
John Pancari: Okay. That's helpful, Kelly. Thanks. And then separately back to your 2020 outlook on slide 17, it looks like the share count outlook isn't showing a change. So is that implying that you're not assuming buybacks in 2020? And if so, could you give us the rationale for that?
Daryl Bible: We basically said when we announced the merger, we're going to run at a 10% CET1 ratio until we got through some of the integrations and took some of the risk off the table. So we are starting off targeting 10%. When we do our CCAR ask -- our CCAR ask that will be coming up in the next couple of months, we will build in capacity such that if we decide to change that and decide to target something less than that after we have some success we'll have the ability to do that. But right now, we're sticking to 10%.
John Pancari: Okay. Got it. All right. Thank you.
Operator: We'll take our next question from Mike Mayo with Wells Fargo Securities.
Mike Mayo: Hi. Well the delay in the branch closing is not really new. I guess you just updated the numbers, because you said that almost six months ago. So I'm just trying to understand better the outlook for expenses. So you look to take the efficiency ratio from 57.5% down to what like 53% or 54% over three years. That implies a lot of positive operating leverage. So I guess the real question is, do you expect positive operating leverage in 2020? And as part of that, I mean if you're delaying some of the branch closures and the deposit and loan conversions aren't until August 2021, what are the expense savings that you can get more in the near term such as back-office or anything else? Thanks.
Kelly King: So we will -- we are expecting positive operating leverage really for the next three years. So that's a really, really good story. There are a lot of savings that we will get. Remember again, the overlapping branches closings are deferred. There are a number of branch closings that are not in overlapping areas that are going to be closed in the near term. In addition to that just because we don't close certain branches and overlapping, doesn't mean we don't reduce expenses in those areas. Some of these branches are literally side by side. And there are commonalities in terms of staffing that we can integrate even though they are two separate branches. And so there will be cost saves in the branches even before the branches actually are closed. So there are a lot of areas -- to be honest there's still a lot of backroom areas that are not related to the branches that we have overlapping staffing. We didn't deal with all of that day one. As time goes on, we will have additional overlapping redundancy in staffing that we will be reducing. So it's kind of a hodgepodge to be honest. But it's pretty clear to see what we've laid out. We think with this modification in terms of the expected timeframe with regard to saves, we feel very, very confident we'll be able to accomplish that.
Daryl Bible: Mike, if you look on page 13 on the non-interest expense space that we have the first five categories that you have there personnel all the way down to equipment expense, I would expect those expense items to decrease over the next three years. This year personnel will drop. We did went through our first RIF more in the management level, when we closed the transaction. Our sourcing group is working aggressively with our third-party vendor supplier. So we will get savings in those areas. And while we got a lot of branches to-date won't close this year we're working very aggressively in all the major markets in the Mid-Atlantic and Southeast to really focus and consolidate our buildings in all the metropolitan areas and that should come online middle to end of 2020. So we feel very good that we're going to get the cost savings in 2020 and in the next three years.
Mike Mayo: And so just maybe don't want to answer the question you're not giving that guidance. So when we look at the year 2020 shared revenue growth exceed expense growth or just really just all back-ended to years two and three?
Daryl Bible: We believe we're going to have operating – positive operating leverage every year, can't promise it every quarter because of the seasonality. But every year, we will generate positive operating leverage from 2019 to 2020, 2020 to 2021 and 2021 to 2022.
Mike Mayo: Okay. And then just a separate follow-up question. It sounds like you really are planning to have a strong long-term company. You said that, you're taking a very measured approach. I guess just maybe a little bit more from Bill on the old SunTrust side. Kind of what are you seeing that's not going as well as you expected that you could do better? Then maybe Kelly you can chime in too.
Kelly King: Honestly, everything is going really well and I don't have any area that I'd say is not going as well as expected. There are a lot of areas that are going much better. To be honest, the integration of our people and our teams whether it's corporate and institutional group, or our community bank all of those are integrating extraordinarily well. So personally, I've seen some real upside in terms of revenue momentum particularly because of how well our teams are working together. I've had the chance to visit Bill has had the chance to visit with a lot of our teams in the last 90 days especially. And again, you walk into the room you would not be able to detect that this is two companies just having come together. You think they've all been working together for a long time.
Bill Rogers: Yeah, Mike, I'd say just we entered it in with some good momentum. Kelly outlined some good loan momentum and legacy SunTrust coming into that. There was good loan momentum in BB&T as well. So that's carrying over into the early weeks of the year. On the investment banking side and the relationship and the teamwork that's going on with the commercial community bank it's just off the charts. I mean, we feel really good about that. And of course we're one month in. But the things that you want to see in terms of pipelines and teamwork and all that I feel really good about. So the – I think generally just strong momentum and the business is heading into the merger.
Mike Mayo: Thank you.
Bill Rogers: Thanks.
Operator: Our next question comes from Ken Usdin with Jefferies.
Ken Usdin: Hi. Thanks. Good morning. I wanted to ask a bit about on the credit side. And Daryl, you mentioned that you're going to redo the marks again. We're going through CECL. I assume that's in your provision guidance. Can you help us understand, when we move to the PCD and non-PCD within the 35 to 50 basis points of charge-offs how much of the legacy SunTrust charge-offs are we going to see in that number? And is there any room where just – the math ends up looking better than the guidance just because of how the mechanics of the charge-off recognition works with path of book marked?
Daryl Bible: Yeah. So, Ken what I would say is that, our guidance between 35 and 50 we believe we can be within that range. Until – there's a little bit of uncertainty in the marketplace right now. So we widened the range out a little bit. SunTrust portfolio is performing very well. We have good marks on it. We did sell a few credits. Nothing of substance, but we did sell some that we wanted to just dispose of. But for the most part their credit profile is really strong as well. So I wouldn't say there would be any impact. When we do convert from PCI to PCD, there will be about $200 million that will basically come out of the purchase accounting market and go into the allowance out of the $500 million that we have allocated to it. That's a little bit of a nuance, but that's just how the CECL accounting plays out. But I don't know Clarke do you want to add anything?
Clarke Starnes: Yeah. I don't see any big changes and things look very stable right now. And our guidance around the range depends on the economy and also how fast some of our consumer segments grow. We've got a lot of attractive, higher margin consumer opportunities now between the two companies. So it's really dependent upon the mix and the economy. But as far as stability of asset quality right now and our outlook it looks good.
Ken Usdin: Okay. And my follow-up just on provision versus charge-offs on this point. You have the wider range of charge-offs, but I guess is it fair to say that the provision pretty much matches if you just look at your full year guidance versus what the charge-off guide implies for losses? Just the moving parts between provision and charge offs that would be helpful? Thank you.
Daryl Bible: So, I'll start and Clarke can jump in. But in essence, our provision estimate is assuming charge-offs. And then all of our assumptions within CECL as you heard from all of our peers, the models are more complex now. So, you have to look at the market environment, client behavior. There's a lot more variables that you have here. We're assuming all that is static. We're assuming we're going to grow the portfolio. And our assumption is, is that mix stays the same. Obviously all that is not going to be static like that, but that's what's built into the assumption.
Clarke Starnes: Yes. Ken, the way I think about it is, we're going to incrementally provide charge-offs generally at the reserve rate assuming no big change in our CECL assumption. So, you'd assume the provisions larger than charge-offs.
Ken Usdin: Okay. Thank you, guys.
Operator: [Operator Instructions] We'll take our next question from Erika Najarian with Bank of America.
Erika Najarian: Hi, good morning. My first question is on synergies once again. So, very strong statement on positive operating leverage over the next three years. I'm wondering, if that includes any revenue synergies. And how should we think about revenue synergies going forward? The organic growth in insurance is particularly impressive, given the company was combined for only 24 days. Clearly that didn't have any impact. So, I wanted to understand what the revenue opportunities for the combined company are? And also, the other question on that, on the cost side Daryl. Could you tell us about the pacing during the year in '20 and '21 of the cost savings realization please?
Kelly King: So Erika, we feel -- and Bill alluded to this, we feel very, very good about the revenue synergies. I mean really you got to remind yourself of how synergistic this combination is. SunTrust had a fantastic corporate institutional group program of fantastic wealth management strategies, a fantastic national consumer finance business, all of which are complementary can be leveraged over BB&T client base. Likewise, you alluded to the insurance opportunity from BB&T side and the BB&T Community Bank has a broader reach than the SunTrust Community Bank reach has. So they will be able to expand some of the programs that the BB&T Community Bank had into SunTrust Bank. So all of that, which of course not factored into our numbers is net very positive and accretive. We can't give you numbers on that today because, it's hard to really give you meaningfully accurate numbers. But intuitively from talking to our people, we know that all of those businesses are very synergistic, have huge opportunity. And the early response from our people in terms of executing on that is outstanding. Now insurance you talked about is real and very easy to kind of talk about. So, I'll just ask Chris to talk about that a minute.
Chris Henson: Yes. Erika, I might just also mention to play off of both Bill and Kelly's comments on the Community Bank and the CIB working together. Just a couple tangible thoughts, when Beau Cummins and I sat down actually designed the model, we actually designed in the Community Bank -- embedded in the Community Bank about 200 folks that are capital markets industry specialists, corporate finance specialists. Their sole purpose in life is to integrate with the regional presence, the 24 of those to share the client base of BB&T with those individuals. And we have for example just since December 9, seven deals that would be sizable enough that we get your attention that we have been involved in with the client and we have commitments on three of those. Now, seven deals don't make a future, but seven deals in about 45 days of that nature, I think is pretty good. Both teams, I can tell you from having said in the regional presidents meetings are exceptionally excited. And it's a natural gravitation and I'll just -- I'll leave it at that. It's been very, very effective. On the -- to Kelly's point on the insurance side. We -- two years ago really said, we want to transform this business and we brought in a consultant to really to kind of transform starting with a white sheet of paper. I could not be more proud of what those guys have executed on. We set up 32 initiatives. We're on plan or on to our target to develop the -- improve the EBITDA. Just in two years for example, we've increased our margins 6%. And we've got industry-leading organic growth year-to-date. And I will tell you, the three things you want in place are in place. We've got industry-leading retention. We've got pricings coming our way and it's up 5%, another 0.5% this quarter versus third. And our new business production, which is actually feet on The Street generating business, is up 13%. And not in my career have I seen 13%. So, all things go in the insurance brokerage business.
Erika Najarian: And just a follow-up question -- yes.
Daryl Bible: Erika yes, I would just tell you. It's hard to call it on a quarter-by-quarter basis. We're trying to give you target estimates of what we would be at the end of each year. That's probably what I would just stay with right now. We're only eight weeks into the merger. We'll have more clarity. We'll close the first full month's books next week. So give us another quarter or two and we'll have more certainty down the road. But I think we gave you good enough estimates and feel very confident we're going to get the cost saves.
Erika Najarian: Got it. And just as a follow-up, I just wanted to make sure I understood how we should treat the purchase accounting over the three years. So you mentioned that 60% of the $4.5 billion is credit and 40% is liquidity. And I guess the way I just understood the credit part of the mark is the non-accretable difference, which would not accrete on over NII. And I just wanted to make sure I was thinking about it the right way or does all of the $4.5 billion accrete back to NII?
Daryl Bible: Yeah. So the nuance, I mentioned this earlier. I'm glad you called this out. So out of the $4.5 billion now that we've adopted CECL, about $200 million of it is going to go into the reserve. It's part of CECL so it's in there now. So it's in essence having $4.3 billion will accrete in as principal and cash flows come in from assets and then the liabilities that you have over those terms.
Erika Najarian: Got it. Thank you and great logo.
Kelly King: Thank you.
Daryl Bible: Thank you.
Operator: Our next question comes from Brian Klock with Keefe Bruyette & Wood.
Brian Paul: Good morning, gentlemen.
Kelly King: Good morning.
Brian Paul: Daryl I just had a quick follow-up. I just want to make sure that I understand the comment on the CET1 10% target and then buybacks. So even though the CET1 came in at 9.4%, which was a little bit lower end versus what you guys initially thought, the accretable yield that's coming through is coming in pretty fast. So does it feel like you got your timing with the CCAR submission that you guys would probably be -- enable a buy back of stock in the second half of the year? Would that still sound like that's on target?
Daryl Bible: So Brian, yeah, we did give guidance that this next quarter because of the MSR change in RWA and then the CECL adoption, our first quarter ending CET1 ratio will probably be relatively flat to what we have right now in the 9.4% range. After that I agree with you, we'll start to build pretty quickly as we generate and accrete through the earnings power there. It's really a call on Kelly and Bill's part and the board part on when we start buyback. Right now we're just sticking with the 10%.
Kelly King: Yeah. And so remember that -- so remember we've said very clearly that over the term assuming things settle down there's a capital opportunity with regard to Truist. We've also said very clearly that during the first phase of our new Truist life, it's really smart to be conservative. I mean we have a lot of moving parts that need to settle down. We had a lot of existential factors out in the world, but we know about that right now with what's breaking from a medical point of view. So there's just a lot of sound reason in terms of being conservative. Now as that -- those uncertainties settle down to your point in terms of the capital level we have, in terms of the capital accretion that will occur predictably over the next several quarters there certainly could be opportunity of some capital buybacks. I wouldn't be surprised at all if that were to happen.
Brian Paul: That's helpful. Thank you. Appreciate it. And then Daryl just one real quick follow-up. When I get to slide 17 on the guidance for merger expenses, for the full year the $600 million to $700 million, the footnote says it includes some of the incremental operating expenses related to the merger. I guess how much is in that $600 million to $700 million related to incremental operating expenses? And can you just remind us what that means in light of the differentiation between the incremental operating and the other restructuring and merger charges?
Daryl Bible: Yeah, Brian, so if you remember at that I went through in detail the difference between what a normal merger and restructuring charges versus this incremental operating. The main primary difference is our definition of merger and restructuring basically has no future benefit. It's due just to the transaction. Because of the size of this transaction and the magnitude there are a lot of things that we are doing at putting things together that will have some benefit. So like -- in Scott's area where we're putting the systems together already working on an integration in the ecosystems. The design around putting those ecosystems together while it has a future benefit we're doing lots of that hundreds of millions of dollars of people working on the architecture that we're putting those and calling those out. For the most part, we have schedules in our tables that break out. We're going to pull those numbers out. But for the most part, it's in personnel and professional -- are where most of those charges exist. As far as the breakdown goes at a high level estimate I would say about one-third of it might be related to the MOE and the operating. The rest would probably be merchs if you could ballpark on it. But it's going to be fluid. It's going to move back and forth.
Brian Paul: Perfect. Thanks for your time. Appreciate it.
Operator: Our next question comes from John McDonald with Autonomous Research.
John McDonald: Hi, guys. A couple quick follow-ups. I guess just on the CET1. Daryl, if you don't do buybacks this year with the share count that you've guided to, does that get you back up to the 10% in your modeling by the end of the year and you roughly add 10% to take you into 2021 to get back to that 10%?
Daryl Bible: Our estimates right now we are plus or minus 10% towards the end of the year. It all depends on how fast the balance sheet grows and how the accretion comes in. So there's a lot of variables there. But we're in the neighborhood of 10%.
John McDonald: Okay. And just to follow-up on Saul's question. The purchase accounting is a nice boost for this year. It seems like the difference between the core and non-core margins suggest something like $1.5 billion or so of purchase accounting addition to NII this year. Does that fall off quickly next year? Is it a drop by 20%? Or is it – just any idea of the pace that that kind of scales down? I know you got the merger saves that will kick in to offset it but what's the – any idea on the pace of that?
Daryl Bible: Yes. I mean we gave you the terms of trying to how you would amortize it in. It does fade away over the several year process. So I think you're having the right mindset of how to model it. Just know that as you model and you factor in the cost saves you will see that you still drive positive operating leverage.
John McDonald: Right. right. Okay. Last question is on to Page 18. The investment – the annualized 4Q 2020 investment of $200 million. What are you guys including in that? And how are you characterizing? Like what kind of investments and why you're calling that out just to give us some color on that?
Daryl Bible: I'll give a couple. So our executive leadership team approved about more than doubling our digital teams that are out work now and they're assigned to all the different business units working to make our improvements and enhancements for our client experience. So that would be one. In personnel there are some key hires that we're putting out into the marketplace and more teams that have some skill sets that we don't have that we're trying to get more of be starting to see some branding in Dante's world, marketing going back and forth. So I don't know if anybody else wants to...
Kelly King: The big one of those is the development of our innovation and technology et cetera. That has got a lot of excitement a lot of focus and a pretty immediate investment in. So that will be a big development during this year. I'll add on there commercial onboarding. I mean it's a list of dozens of things that we're seeing that are – we've got the capacity to do them. They're not opportunistic. They're really client-friendly client-focused. And we're calling it out because these are strategic investments that we think making now are going to really have an incredibly good long-term payback. And deferring them for the point of meeting some quarter just doesn't make a lot of sense. So that's the reason to put them in there and call them out.
John McDonald: Okay. All right. That's helpful. So when you guys talk about the merger saves the $1.6 billion net that's kind of the kind of investments that you're netting against that – the merger saves?
Kelly King: That's right.
Daryl Bible: And I wouldn't expect the investment to stop at $200 million. I mean our gross saves is well north of $1.6 billion.
John McDonald: Okay. Thank you.
Operator: Our next question comes from Lana Chan with BMO Capital Markets.
Lana Chan: Hi, good morning.
Daryl Bible: Good morning.
Lana Chan: So one quick question on the preferred dividend in the fourth quarter. Was there something unusual there? And can you give us a run rate for the quarters in 2020?
Daryl Bible: Yes. Lana we have a couple preferreds that are semi-annual rather than quarterly. That's the nuance that you have to factor in now when you look at the Truist dividend payout schedule.
Lana Chan: But it was only $19 million, which is much lower than even I think the previous run rate?
Daryl Bible: You remember though in the BB&T world, we retired one preferred and then we reissued another preferred. I think the timing of all that basically had a favorable impact in the fourth quarter. It should level out as we get into 2020 from a schedule. But if you want to talk about this offline, I'm sure myself or Rich or Aaron can handle that question for you.
Lana Chan: Okay, great. Thank you. And then just I wanted to confirm, Daryl that you said before. On the core run rate for the expenses through 2020 by the time we get to the fourth quarter with the cost savings that we should see a decline in the quarterly run rate through the year?
Daryl Bible: Yes. So we gave you – if you make all the adjustments baseline for 2019 is $12.8 billion. We are saying that our net cost savings for the fourth quarter of 2020 would be down $120 million, which is annualized $480 million run rate number, which is 30% and then we'll continue to build year-after-year on that.
Lana Chan: Okay. Thank you.
Daryl Bible: You’re welcome.
Operator: Our next question comes from Stephen Scouten with Piper Sandler.
Stephen Scouten: Hi, good morning, guys. Not to beat a dead horse here but kind of thinking about the delayed expense savings. I'm just wondering if I calculate that, it seems like the timing is about $0.20 a year in 2020 and 2021. I'm wondering if there's any offsets that you've seen in terms of upside surprises from any sort of revenue realizations or otherwise as you've gotten into the deal so far?
Kelly King: Yeah. Stephen, as you know, we didn't factor in, intentionally any of the revenue opportunities in this. What you're seeing now is the work down in the worst case in terms of expense delay with no factored in our revenue opportunities. But as you just heard Chris and Bill said, the revenue opportunities in Commercial Banking and private banking and insurance, across the board are really very, very substantial. And it's not something that we're talking like two years to get underway. It's underway, as we speak. So, it's a very conservative view to factor in the expense delay without factoring in the revenue enhancements. But, that's our nature. We try to be conservative, so we'd rather beat than miss. And so, that's kind of the way we've tried to factor it together.
Stephen Scouten: Okay, great. And then, another question for me is just, in terms of restructuring business units loan runoff and things like that nature, has everything in your mind been completed here already or are in the process of what's remaining in held for sale? Or are there still other decisions to be made about additional business line exits potentially or other loans that you might look to take off the balance sheet?
Daryl Bible: Yeah. Stephen, I would say for the most part we're pretty much over with from a balance sheet restructuring perspective. Everything will settle that we wanted to move off this quarter. And move forward from that perspective. We still have our divestiture that's planned later in the year probably second quarter. So that will come out of run rate when that occurs. But I think for the most part, we have pretty much everything done.
Stephen Scouten: Great, thanks so much.
Operator: And we'll take our final question from Christopher Marinac with Janney Montgomery Scott.
Christopher Marinac: Hi. So I want to ask about compensation for the combined companies in terms of just retaining the employees that you have. Is there anything unique that you are doing or that you intend to do, just to keep competitors away and keep your team focused?
Kelly King: Yeah. Chris, we've been working on that from day one, in terms of special compensation arrangements for key players. And developing a very aggressive ongoing compensation program for all of our people, whether in sales jobs or in revenue jobs. I mean for example, we did a $1,500 bonus for like 48,000 of our teammates that we just paid out in the last few months. Just as a thank you for their hard work. And so, yes we've done a lot of particular activities to try to focus on that. And so that's one of the reasons we feel very, very confident in terms of our low attrition. And in fact what we're seeing is low attrition. So everybody feels good. We've done all the right things. And we will remain aggressive in terms of taking care of our teammates, because ultimately mergers work well or not is based on the teammates. And again, all of our teammates today feel very, very good, very, very excited, very confident and again, I'll say, again the attrition is very, very low. So we feel very good.
Christopher Marinac: Great, Kelly. Thank you, Bill, Daryl for all the information this morning. I appreciate it.
Kelly King: Okay, thank you.
Operator: That concludes today's question-and-answer session….
Rich Baytosh: Okay, thank you, Lauren. And thank you everyone for joining us. Hope everyone has a great day.
Operator: Thank you. And that does conclude today's conference. We thank you for your participation. You may now disconnect.